Jan Marcel Matthieu Boone: Good morning, everyone. Welcome to the investor call. Following the announcement this morning of the 2025 annual results of Lotus Bakeries. I'm Jan Boone, and joining me today is our CFO, Mike Cuvelier; and we are both here in Lembeke. We will start with the presentation providing an overview of the performance and also the milestones of '25 and later on, deep dive into the financials. And of course, following the presentation, we are open for questions from your sides. And in total, we have foreseen 50 minutes for this call in total. First slide, I'm proud to report another year of strong and double-digit top line growth. The reported sales in '25 amounted to EUR 1.35 billion, and that represents an increase of 10%. This evolution is driven by continued strong volume growth in the second semester for both Lotus Biscoff and Lotus Natural Foods. At constant currencies, growth was even stronger, given the negative currency evolutions of the dollar and the pound in the second half of the year. Profitability improved further with underlying EBITDA on sales exceeding 20%, and this is an increase of 12% compared to the prior year. Also, the net profit increased and the net profit increased with 13%. The strong reduction of net financial debt led to a historic low multiple of 0.25x underlying EBITDA. Besides a strong operational cash flow delivery, we also realized a successful exit in FF2032 with the sale of our participation and The Good Crisp Company. A dividend of EUR 90 per share is proposed, and that's an increase of EUR 14 per share compared to the 76 of last year. And similar amount to prior year, we invested EUR 120 million in capital expenditures, and that's mainly in the plant in Thailand. The successful start-up of the first lines in Chonburi is for us, as a company, a huge milestone. And the operations teams deserve full credit for delivering this greenfield ahead of schedule and well in budgets. Last but not least, the partnerships with Mondelez advanced strongly and they contribute positively to the results. Lotus Bakeries is a growth company, and has been for the last 20 years, delivering a compounded annual growth rate of 11%. Looking at the pillars, the 3 strategic pillars. We see that Lotus Biscoff achieved a growth of 13% in '25. It reflects the discontinuation of Lotus Bakeries' own Biscoff ice-cream sales following the new license agreement with Froneri, EUR 11.6 million of second semester revenue was excluded from the reported top line sales. This primary volume growth of Lotus Biscoff demonstrates continued strong demand for Biscoff cookies and spreads. The Biscoff cookie once again ranks as the fastest grower in the global cookie brands ranking further reinforcing its position within the top 5. Lotus Natural Foods is the fastest-growing strategic pillar '25 with a growth of 17%. And after a strong performance in the first semester of '25, Lotus Natural Foods continued on the same positive path. TREK is the fastest-growing brand and BEAR is the biggest contributor to growth. [ After ] sales remained flat in the first half of '25, the Local Heroes delivered again growth in the latter half of the year. Annas pepparkakor even realized more than 10% growth and had its best holiday season ever in Sweden. The gingerbread sales in the Netherlands stabilized on a full year basis. Growth in Continental Europe of 9% is outstanding, certainly given the full allocation of the Local Heroes portfolio to this region. Belgium and the Netherlands are good examples of home countries that carry a broad assortment of the 3 strategic pillars and generates good growth in '25. The reported growth in the U.K. was 2%. Currency evolution of the pound has a negative impact on the reported sales in the second half of the year. The deep focus on the own Biscoff chocolate business and the exclusion of Biscoff ice-cream sales in the second half of the year further tempered the growth. On the contrary, the Natural Foods brands performed strong in the U.K. As an example, TREK was the fastest-growing brand in the bar category in the U.K. And in the U.S., Biscoff was the fastest-growing brand in both, the cookies and spreads category. Household penetration for the Biscoff cookie has steadily expanded in recent years, and now stands at 9%. Significant growth was also realized again in the U.S. with BEAR. Our largest consumer markets continued to increase in imports. You can see this in the overview here on this slide, an overview that shows the revenue distribution by country. The U.K. remains our largest market, closely followed by the U.S. Other major consumer markets, including many European markets, China and Canada, are also gaining share. Within the remaining 19%, several smaller but high potential markets are emerging. Let's now go into more details about Biscoff. Biscoff realizes a 10-year average growth of 15%. The most important growth engine of Lotus Bakeries in absolute value of the last decennial. We have reached with Biscoff again, a lot of milestones and we will go into more detail on some of those in the following slides. The launch of spreads was almost 20 years ago, namely in 2008. You can see the interesting evolution of our pack design over the years. In '23, the brand named Biscoff became prominent on the pack. And now we take the next step, and we will move from a generic shape jar to our own design. [Presentation]
Jan Marcel Matthieu Boone: The new jar makes the perfect reference to our Biscoff cookie with the embossment linking into our iconic cookie. And you can see the new Biscoff spreads lined up next to other global spread brands. And now it's our goal to make this Biscoff jar also iconic. Here you can see that our Biscoff brand. Here, you can see our Biscoff brand identity over the years. In 2018, we created the red banner on the packaging design. And in '23, we placed Biscoff front and center on the packaging as part of a shift towards a unified global brand identity. And we are ready to take the final step. In '25, we introduced the Biscoff engraving on the cookies, replacing the long-standing Lotus engraving. This change completes more than a decade of brand evolution, and ensures us 1 consistent visual identity and tone of voice. The letter fonts on the cookie is aligned to our Biscoff logo connecting the Fs to ensure readability. The new engraving will be introduced across the entire range, including the original cookie and the sandwich cookie, as you can see here. Implementation began late '25 in the U.S. and India, followed by a global rollout in '26. And now an update on the partnerships. One of the highlights '25 is, for sure the launch of Biscoff cookie in India. Towards the end of '25 an unprecedented nationwide launch campaign was rollouts, rapidly building distribution in more than 300,000 stores in less than 4 weeks. Sales conferences were organized across 15 key cities to inform and energize among the sales teams across the country. This allowed us to reach 10,000 salespeople in all parts of the country. A wide range of impactful marketing initiatives was deployed across the country. The main focus was on the unique product taste. [Presentation]
Jan Marcel Matthieu Boone: Painting the towns red with Biscoff billboards across top cities. Social and influencer buzz delivering more than 150 million views. Also a nationwide and broadly covered press conference was organized. And of course, impactful in-market activation in all channels, both modern trade and traditional trade. Traditional trades includes thousands of small shops, as you can see on the slides. At '25, we successfully launched Biscoff with Cadbury, Milka and Cote d'Or. And Mondelez is working on some more exciting innovations that will come soon on the markets. The Froneri led Biscoff ice cream launches will start in '26 this year, and the U.K. and later on in European countries. Following extensive work throughout '25 to define the new assortments and develop new product innovations. This slide shows the different concepts that have been developed. You can see the sticks, the pints and the new sandwich concepts. And the sandwich concept is ice cream in between 2 original Biscoff cookies. In recent years, Lotus Bakeries has invested in a new greenfield production facility in Chonburi in Thailand to support its growth ambitions in the Asia Pacific region. We have now 4 Biscoff plants, including India, on 3 continents. By the end of '25, the first cookies produced in Chonburi have been delivered to the customers. Plant is expected to be fully completed and operational by the end of the first semester in '26 at the latest, including capability of spread production and in-house bottling of spread jars. You can see here a drone picture of the current Chonburi plants. On the left of the current building, you can see that the plot of land still allows for significant future expansion. Mid '25, a new investment in spread production and bottling was also commissioned at the plant in Mebane U.S. Local sourcing and production of Biscoff spreads in the U.S. will reduce our ecological impact, lower import duties and accelerate our logistical flow. Our ambition with Natural Foods is clear. We want to become a global leader in better-for-you snacking segments. And in '25, we have made great steps again. Lotus Natural Foods was the fastest-growing pillar of the group with 17%. It is now a EUR 300 million business. And this is not a one-off because since we entered the better-for-use snacking segment in 2015. Our 10-year average growth has been that same 17%. With Natural Foods, we reached several milestones in '25, and we will go more into detail on some of those in the following slides. An important driver of growth in recent years for those Natural Foods is the successful development and introduction of new innovations. Other brand, BEAR brands, the fruit splits are a perfect example of an innovation that was introduced in recent years. The fruit splits are performing very strongly next to the original BEAR fruit rolls. In both key markets for BEAR, the U.K. and the U.S., the splits rotates in the top quartile, at most retailers. Seasonal activation strengthened brand's visibility and consumer engagements. Alongside BEAR's strong overall performance, the brand successfully launched nationwide Halloween Edition featuring a single wrapped strawberry fruit roll and themes cards with the BEAR mascots. Also under the TREK brands, we launched 1 of the most impactful innovation of recent years, the TREK Protein Flapjack with Biscoff. And this TREK Protein Flapjack with Biscoff is a vegan protein bar layered with smooth Biscoff spreads. This innovation created a strong halo effect. While consumers were introduced to the iconic Biscoff of taste while Biscoff brands encouraged trial and visibility for TREK, strengthening relevance and appeal for both brands. In '25 Lotus Bakeries entered into partnerships with RunThrough in the U.K. and with Golazo in Belgium, the Netherlands and France. We will be a key partner at running events reaching over 900,000 runners annually and offering a strong opportunity to further build the visibility and relevance for -- of TREK and Nakd brands. So this concludes my part of the presentation. And now I will hand over to Mike, who will present the financials.
Mike Cuvelier: Thank you, Jan. On the financials. In '25, we delivered another strong set of annual results, powered by an in-sync flywheel of sales profitability, cash flow and continued reductions in net debt. You see that revenue is up by 10%. Underlying EBITDA is up by 12%. Free cash flow before expansion CapEx is up by 20%. All of which make it possible to invest EUR 240 million in the past 2 years and at the same time, reduce the net financial debt further to 0.25x underlying EBITDA. The strong performance of '25 is also reflected in a proposed increase of the dividend with EUR 14 per share. This slide shows the yearly volume growth in percentage on the left and in millions of euro over the past years on the right. The reported revenue growth of 10% in '25 is primarily driven by continued robust volume growth of 9.5% or more than EUR 115 million. This is the darker bar in the graph. Before exclusion of the Biscoff ice cream sales of the second semester, normalized volume growth is actually higher at 10.4% or close to EUR 130 million. This is the bar on the right of the graph. And you can see this volume in '25 was outstanding and comes on top of a record volume growth already realized in 2024 of 14% and EUR 150 million. Over the past 5 years, underlying EBITDA has grown faster than sales. And in 2025, underlying EBITDA reached again the 20% of sales level matching the profitability level we delivered also in 2021. Our partnerships with Mondelez further enhance the group's margin profile. Underlying EBIT and underlying EBITDA grew by more than 12%, as you can see, outperforming the top line growth of 10%. This demonstrates the solid underlying quality of earnings. Strong volume growth, combined with disciplined pricing and margin management, continue to support expansion of profitability and cash flow. Our Biscoff plants in Lembeke and Mebane, together with the Bar factory in Wolseley, operated at high occupancy levels throughout the year. And towards the end of 2025, our new plant in Thailand became operational. The annualized depreciation in '26 for Thailand is expected to add around 0.5% on sales. The volume growth and operating leverage is being reinvested in strengthening our commercial organizations, expanding marketing initiatives to build brand awareness and penetration and further increasing production capacity. The nonunderlying items of EUR 4.8 million relate mainly to the start-up cash costs for the plant in Thailand before production commercially goes live. The financial results of EUR 2.4 million consists of interest expenses, net of cash deposit income, bank charges and a negative exchange rate impact from the revaluation of balance sheet positions in foreign currencies. The tax expense amounts to almost EUR 53 million and remains as a percentage profit before tax in line with prior year at 23.5%. Underlying net result amounts to EUR 177 million or 13.1% on revenue. On this slide, you can see our investment program over the last 5 years. We invested more than EUR 500 million since 2021 in total CapEx and more than EUR 430 million in expansion CapEx alone. In 2025, we invested EUR 120 million similar to the 2024 number, and the majority of this budget goes to the plant in Thailand. Maintenance expense remains well under control and also remains below 1.5% of sales in 2025. The CapEx forecast for '26 and '27 combined stands at EUR 250 million, and is slightly above the EUR 240 million over the last 2 years, '24 and '25. Cash flow delivery was once again very strong in the second half of the year, with cash conversion before expansion CapEx well above 90%, we were able to absorb more than EUR 100 million of expansion CapEx and still reduce net financial debt further. Supporting drivers of cash conversion remain control on working capital and maintenance CapEx. Net financial debt is historically low at 0.25x underlying EBITDA. The sustained strong cash flow delivery over the recent years and the successful exits by FF2032 of the participation in The Good Crisp Company are the drivers in 2025. And I have to repeat myself, this balance sheet, again, is stronger than ever. Increased long-term investments, reaching the EUR 1 billion mark alongside increased equity. Net working capital remains stable and the reported net financial debt further reduces. On this slide, the reported net financial debt of EUR 89 million includes EUR 21 million of debt to be expressed by applying the IFRS 16 standard about leases. The evolution of underlying earnings per share shows a CAGR of 17.1% over the recent 5 years. and is actually outpacing the underlying EBITDA evolution we saw in 1 of the previous slides. And then to end the presentation with another highlight of 2025 Lotus Bakeries has reached the status of dividend aristocrat with 25 consecutive years of dividend growth and proposing a dividend this year of EUR 90 per share. This concludes the presentations. We will now open the call for questions.
Mike Cuvelier: And we have the first question of Alexander Craeymeersch of Kepler Cheuvreux.
Alexander Craeymeersch: Thank you. Yes. So the first question, I would ask 2 questions. And congratulations on the good set of results first. So the first question would be, you mentioned at the beginning of the year that you could have only a max volume growth of 10% over full year 2025 in Biscoff and you mentioned also that there was going to be a high base in H2. Of course, at the H1, you already mentioned that there was the new plant in Thailand opening but now we show in Biscoff 15% growth half-on-half. And if you compare that, because in the first half of the year, it was only 1% growth half-on-half. I was just wondering now can we also expect that 15% growth to also be present in H1 next year because, of course, there was little room for growth supposedly, but now apparently, that was well overshoot. So that was the first question. The question -- the second question I would have would be on Capex. I was just wondering why CapEx landed a bit on the lower end in H2? And how much capacity would be coming free in 2026? That would be my second question.
Jan Marcel Matthieu Boone: Thank you, Alexander, for the questions and also for the congratulations, so thank you. Regarding your first question, indeed in '25, we gave some guidance in respect of capacity related to Biscoff and in '26, there is not. The demand will be leading and we had indeed a very good, very strong second semester and the 15% growth of Biscoff is a bit exaggerated. It's more like-for-like almost 13% in the second semester that we grew with Biscoff. But the demand will be leading in '26, we have been investing in increased capacity, mainly through our plant in Thailand, and that plant will be producing for Asia and Australia and New Zealand. So the capacity is there to grow, to grow Biscoff in '26. In relation to the CapEx number, we have shown an outlook for '26-'27. So about EUR 250 million will be reserved for increasing the capacity in our different factories. That includes our Biscoff factories but also our factory in South Africa for Natural Foods products. And sometimes the risk between H1 and H2, a difference in cash out, but we can be assured in H2. We did work quite hard to get the plants up and running in Thailand. We are extremely happy with how the team performed -- our operations team performed in Thailand. They -- we did not have any significant setbacks. And that's why we made a clear statement in our press release that at the latest by end of the first semester we will be up and running with all our lines.
Mike Cuvelier: The next question, Kris Kippers, Degroof Petercam.
Kris Kippers: So yes, indeed, also on my side, excellent second half, so congrats on that. My question is more on the comment made in the press release on the first page also on the profile the group. Looking forward and looking at your cost base, which remain indeed well under control in the second half, given the fact that you have some scale increase as a group, you have indeed Mondelez, which is helping. On the other hand, there is, of course, the effect of Thailand which might not be as profitable as the Belgium plant or even Mebane in the short term. But what seems to be a realistic margin assumption going forward because, indeed, it could be that 21% in a couple of years is feasible? Or would it imply again what you commented in the past that you aim for, let's say, more marketing effect in order to focus on the long-term growth, it will be helpful to give some insight on that because it does see indeed that your margin uptick in second half could be structural. That's my main question, actually.
Jan Marcel Matthieu Boone: Thank you, Kris. Yes, indeed, we are happy that the EBITDA margin was higher than the 20%. So we are now at 20.2%. There are a couple of elements that affected that percentage. First of all, the ice cream business we took out in the nonunderlying line. So not only the top line, but the whole P&L of the ice cream business in the second half is not included in the underlying results. So as you know, our ice cream business was not the most profitable one. So that helps to increase that profitability percentage. Looking into the future, a couple of elements will play. First of all, we will have the Thailand plant as from the 1st of January, fully consolidated into the results, which also means full overheads will be in the costs. And so it's clear that a new factory being integrated in the profit and loss has its overhead costs. And once it's fully in the P&L and you add lines, it's more profitable. So if we add lines in Lembeke and the profitability level of these additional lines is higher than implementing and your P&L, a full plant. So that's the effect we will see in '26. And also depreciation will be a bit higher, about 0.5% impact on our depreciation. On the other hand, the Mondelez partnership will play positively on the EBITDA and percentages as well, India as the corporation on ice cream and chocolate will play positive side percentage wise. So to summarize it, we think for '26 the EBIT and EBITDA percentages will be more or less in line with what we have communicated today in relation to '25.
Kris Kippers: Okay. Very clear. And then just one follow-up, coming back on the CapEx program, EUR 250 million, somewhat north of what we anticipated, I presume. To what extent is this ample? And what kind of capacity expansion would this provide you? Could you share more details on what it entails?
Jan Marcel Matthieu Boone: I said it's linked to our Biscoff factories and also our factory in South Africa. We -- the calculation made is, of course, based on what we expect in relation to demand to coming years. We don't like to build empty factories. We're not going to invest already for 30%, 40% additional capacity. We'd like to be quite close to the market. And the factories, the 3 Biscoff factories specifically, they are close to -- is very close to the full capacity. '26 will give us room for growth. But we're not going to be overinvesting in capacity sort of EUR 250 million, and it will not give us 30% to 40% additional capacity. I don't know if that gives you an idea.
Mike Cuvelier: Next question, Maxime Stranart from ING Bank.
Maxime Stranart: Can you hear me?
Jan Marcel Matthieu Boone: Yes.
Maxime Stranart: Correct. So first of all, looking at organic growth coming back on that. If I may, excluding the impact, would imply the organic growth is above 14% in H2 with volume growth of almost 13%. If I look at the number you just communicated, I just want to crosscheck with you that's basically the correct assumption to take? And is it a level you see sustainable in H1 that would be the first question on my slide. And secondly, digging deeper into India. Could you elaborate a bit on what's your view on what the growth could be in '26. That would be all for me.
Jan Marcel Matthieu Boone: Thank you, Maxime. Indeed, in the second half of the year, we increased like-for-like. And that means the FX like-for-like, also the ice cream was indeed 14% of organic growth, which is exceptional. We are delighted with the 14% and if you see it in the history of the last 5 to 10 years and 14% of organic growth for the group is exceptional. What do we expect H1 '26. We are confident to further grow. But as I said, 40% is exceptional. And we also have the headwinds of the foreign exchange effects based on the currencies of today, pound-wise, dollar-wise, we have already, and we have to start with minus 2.5%. Things can change in a good way or in an versus way. You never know, but we start with minus 2.5%. And -- but if we purely look at the like-for-like growth, 14% is extremely high. And that's why both Mike and I are sitting here with a big smile because of the fantastic results in the second half. And then in respect of India. And then I have to quote my CEO colleague of Mondelez. He said, "Okay, I want to have at least USD 100 million sales in 5 years in India." And for us, it's clearly strategically a very good partnership. We have been in India for 20 years, even more, and we could never realize a substantial sales we would never become a real brand in India. And I think through this partnership, we will be, if we see the resources that Mondelez have used now to launch the marketing efforts and especially also the way they operate. And the fast way they can get the Biscoff products in all these stores more than 300,000 stores that's really truly impressive. And I'm sure they will create a brand. They will create Biscoff as a brand also for the Indian population. And that's our ultimate goal. And I want to become a global brand and if you cannot become a brand in India, you cannot say generally, we are a global brand. So I'm happy that we can work together with Mondelez on realizing that.
Mike Cuvelier: Next question is Guy Sips from KBC Securities.
Guy Sips: I have 2 questions. First question is on the ramp-up and the packaging cost evolution. We see some ease in the raw mat. Can you give us some color if that could give some tailwinds from that side going forward? And the second is coming back on the CapEx, do you intend to allocate some additional CapEx to the healthy snacking activities.
Jan Marcel Matthieu Boone: Thank you, Guy. In respect of packaging raw materials and other costs. What we do is, we have the whole budget around and also calculating the cost prices and the different cost elements of our products. That's an exercise we do very meticulously. And that gives us the ability to communicate also our prices to our customers before year-end. We also try to hedge as much as possible of these costs. So we have a cash flow predictability. For '26, price increases will be moderate. So if you look at the growth of next year and hopefully, the growth of next year, it will be based on volume. So it will be very -- price effects will be very limited. In respect of capital expenditures for healthy snacking. Indeed, BEAR is doing really well. So we're going to invest in our South African plant and also for Nakd that we also produce in the same plant, we will add capacity over there. So partly is allocated for the plant in Wolseley.
Mike Cuvelier: Next question, Jeremy Kincaid from Van Lanschot Kempen.
Jeremy Kincaid: One more for me on Capex, are you able to split out how much of the CapEx guidance will be to the Biscoff brand and to the Natural Foods brand? And then my second question is just on your balance sheet. Obviously, you called out it's very strong. Does that mean going forward, we could expect higher cash distributions to shareholders? Or do you have a target leverage ratio that you're working towards? And then just finally on The Good Chip Company or Crisp Company, are you able to disclose how much you sold that for? I'm sorry if you said that at the beginning of the call, I was having technical issues.
Jan Marcel Matthieu Boone: Thank you, Jeremy. In respect of CapEx, the majority should be allocated to Biscoff and the exact number, we will not disclose, but it's the majority to Biscoff. And we do have a strong balance sheet. We have increased the dividend pay out slightly I think if you look at the underlying profit of last year and our payout ratio, which was a bit below 40% and now it's a bit above 40% because we have indeed a very strong balance sheet with low leveraging. So happy to be dividend aristocrats. So we're official aristocrats. That does not mean that we're going to stop working. So -- but the view on our dividend has not changed. I think the dividend payout, we have no plans to really dramatically change the payout ratio. And -- but the balance sheet enables us to invest in capacity. So we will invest EUR 0.5 billion in the next 2 years. And that will be -- and that helps if you have a strong balance sheet. We do look at M&A. We do look at external growth. But it's not something that we really need today. As you can see, our organic growth is very strong, as well for Natural Foods as for Biscoff. The organization is also built and organized to really focus on Biscoff, focused on Natural Foods and also the Local Heroes. So an external growth and acquisition could be interesting. And we have the balance sheet for it, but it really has to be a perfect match. And it's not something that we really need in the short term. We love the organic growth, it's the most profitable way to grow, and -- we don't -- we are not nervous by the fact that we have almost no debt anymore. And in respect of the funds, FF2032. What we've seen is that the most targets are in the U.S. we invest in scale-up companies, not in seed. We're not investing in not seed money, but more in scale-up companies. And we like companies that we think that in the mid long term, they can reach EUR 75 million to EUR 100 million. And we've seen also out of experience that most of these targets are in the U.S. And so we have our team now in San Francisco mostly looking at U.S. targets. And a The Good Crisp Company, a very nice company in the sense that they have a very good product. They did grow significantly the last years and PearlRock private company that acquired and we agreed not to disclose any detailed information. But we did create some surplus value for the funds.
Mike Cuvelier: We have time for 1 more question -- a follow-up question from Maxime Stranart of ING.
Maxime Stranart: [indiscernible] that you're still looking at a growth target and also [indiscernible] looking at M&A. So any element in the portfolio; that you would add any category you feel would be a great fit as a group into.
Jan Marcel Matthieu Boone: I think I more or less understood your question because the line is not perfect. But I understood that your question is, do we want to invest in other categories. I think looking at M&A, preferably, it will be either in the healthy snack and natural foods fields, I think that's what we focus on in our search. On the other hand, also in traditional biscuits and bakery, could be interesting, certainly in respect of getting more scale in certain countries. Today, we're not eagerly seeking in other categories and the categories we are in today.
Mike Cuvelier: Thank you, Maxime. Just 1 last question, Antoine Prevot from Bank of America.
Antoine Prevot: Can you hear me?
Mike Cuvelier: Yes, yes.
Antoine Prevot: Perfect. Yes. 2 quick questions. So first 1 on the U.S. So 9% household penetration, see good development there. any bit of an update on what your target a bit there in the U.S. household penetration over the midterm? And just a very quick 1 on India in terms of like -- I mean, strong launch, as you said and pointed out. I mean in terms of spending on A&P and so on. I mean how is it split between you and Mondelez? Is it them taking care of everything? Or do you also need to contribute a bit?
Jan Marcel Matthieu Boone: Thank you for your question. Indeed, the U.S. has been evolving very positively. We are now at 9% of household penetration and our distribution on store level is -- it's 80% more or less. So evolving really positively. What are our ambitions there. Of course, we would like to cross the bridge of the 10% household penetration in the short term in the U.S. Today, the U.S. consumers are not that positive. We have not seen that in our figures for '25. And hopefully, we will not see that in our figures in '26. Today, there are no indications that the sales would be less good. So we still have a positive vibe coming from the U.S. And it's -- it's 1 of our, maybe our most strategic markets for Biscoff. We have been investing quite a lot in the U.S. in relation to marketing above the line. Investments have been started in '24, evaluated positively, so we are extending it in '25 and also probably in '26. So we keep on spending, supporting our brands to marketing. I think another important aspect is we have our factory in the U.S. producing for the U.S. Now also we have added to the spread line. And the good news is that we had a vision to buy enough land in North Carolina on that side. So we can still extend capacity on the same site because it takes quite some time to create know-how and factory. And now in the U.S., quality of the cookies are very good and are fully on par with the Lembeke ones. So it's good that we can extend on the same spots in Maiden, North Carolina. So we are ready in the U.S. to grow. Fantastic year '25. In general, consumers are but more hesitant, but today, we don't see that in our figures. India, indeed, a great start. And our contribution is, of course, that we look at the quality of the cookie. We decide on the marketing program together, and we do have a contribution also in the marketing support and the majority of the investments are being done by Mondelez, but we also contribute a bit to the marketing efforts. And like I said, it looks very positive but we're only there for 2 months now. But the start has been very promising and very proud to see our products and so many stores to see the positive pipe in India.
Mike Cuvelier: Okay. Thank you for your good questions, interesting questions.
Jan Marcel Matthieu Boone: Yes. Also from my side, thank you. We will close the call here. But of course, if you have any follow-up questions, you know where to also find me or find us in the next few days and weeks. Thank you very much.